Ross Gersbach: Good morning and welcome to APA’s 2016 Full-Year Results Presentation. I’m Ross Gersbach, Chief Executive Strategy and Development standing in for Mick McCormack here. Unfortunately he’s unwell today. But he’ll be back on deck very shortly. With me in-house in the office is APA’s Chief Financial Officer, Peter Fredricson, who will be presenting our financial results in detail. I also have some of my executive team here to assist in answering any questions, in particular Rob Wheals, Group Executive Transmission and John Ferguson, Group Executive Networks. First up, you’ll have noticed that we have a refreshed our brand and corporate logo during the year. The red-dot represents our continued enthusiasm for and; focus on delivering for our shareholders. These are sustainable returns for our investors of reliable energy supply for our customers. Importantly while our brand and logo have changed, our core values have remained the same. Turning to Slide 3, for today’s call, I’ll kick off with an overview of our 2016 results, highlighting some of the key activities and achievements for the year. Peter will then run through the numbers in detail including our FY17 guidance before I conclude with APA’s strategy and outlook. Given the challenges and uncertainties within the energy industries both globally and within Australia, APA has weathered the dynamic environment well. This is the result of our consistent and prudent strategy of building recurring earnings through our investments and innovations. The 2016 results are testament to our consistent strategy of generating sustainable growth and long-term value creation through with our customers and our low-risk business model and maintaining strong balance sheet. At the end of our presentations, we’ll take questions from analysts for any media on the line today, we ask you to not ask questions in this form due to time constraints. Let me take you through the financial highlights. The full-year numbers are very clean with no significant items recorded for the period so I refer to our normalized results. It’s been a good year for APA despite challenges from macroeconomic factors. EBITDA from continuing businesses has increased by 62% to AUD1.33 billion and operating cash flow which is an important measure of the successful execution of our strategy is up 58% on last year to AUD862 million. This increased operating cash flow per security AUD0.774 up 41% from 2015. The increases are primarily attributable to a full-year contribution from both the Wallumbilla Gladstone Pipeline and the expanded East Coast Grid. In particular the additional capacity and Bi-directional flow investment on the South West Queensland Pipeline that we completed and commissioned in January 2015, partly contributions from Ethane Pipeline and Diamantina and Leichhardt Power Stations acquisitions in FY16 as well as the commissioning of our newest pipeline in West Australia, the Eastern Goldfields Pipeline also contributed to this result. As I mentioned earlier, we are now seeing the results of our prudent growth strategy with earnings being realized from both organic expansion and investment as well as strategic acquisitions as we had expected. The totality of APA’s value is more than the sum of our individual parks and assets. This provides solid springboard for further growth and asset expansion. Peter will talk to the numbers in more detail shortly. Distributions; however, in line with previous guidance up 9.2%, AUD0.415 per security for the full-year, and as usual are fully covered by operating cash flow. Given the current economic environment, the board views this increase as sustainable and a solid base from which to increase distributions going forward, whilst also taking into consideration the need to fund future growth requirements of the business. We continue to see good opportunities for organic growth and are well positioned to take advantage of future growth and development opportunities, whilst remaining disciplined in our approach to delivering long-term value to investors. I’m now on slide 5, our 2016 results demonstrate the success achieved through our ongoing commitment to investment and innovation, to support the deeds of our customers. Growth CapEx for FY16 was AUD281 million with a further AUD340 million invested in strategic acquisitions. You’ve heard me say regularly that APA runs a growth strategy and has done so since 16 years ago. To support that strategy, we’re proud to say that we have invested over AUD12 billion in that time acquiring and developing energy infrastructure assets, systems and technology so that we can meet our customers’ needs, evolving in our dynamic energy market. We continued investing to enhance our infrastructure, our service offerings and our infrastructure expertise. We have continued to innovate in our business so we can deliver unique offerings such as flexible multi-asset contracts, in-part and capacity trading services, hub services and integrated operations center. Our investment and innovation has not only benefited our customers’ investors, but has provided real flow and benefits to the broader energy industry. The black box on the right of this slide includes the major contributors to the growth in our results during the year. We’ve not just been satisfied with the creation of the East Coast Grid but we’ve continued to spend money and use that smart to make it more flexible and useful to our customers, be it adding Wallumbilla Gladstone Pipeline or expanding the Victoria Northern Interconnect, installing Bi-directional unique capabilities or working with customers to provide multi-asset additional services. Our recently signed 10-year contract with the Northern Territory’s Power and Water Corporation is a good example of the multi-asset gas transportation agreement at Work. The main component of this contract is the delivery of gas from the yet-to-be constructed Northern Gas pipeline to Phosphate Hill on the Carpentaria Gas Pipeline. However, the contract allows; for additional flexibility for PWCD other pipelines and deliver the gas to various liberty points, including the Mondarra and Wallumbilla gas supply hubs on the East Coast Grid. APA’s East Coast Grid continues to bring tangible benefits to the gas market and on the next slide I’ll outline a couple of case studies in this regard. Over in Western Australia, with the completion ahead of time of the Eastern Goldfields Pipeline was a significant achievement for APA. But again, we didn’t just sit on that achievement we’ve already been able to add another customer on to that pipeline. Additionally, an enhancement project of the Mondarra gas storage facility has delivered us another contract enabling our customers to take advantage of market dynamics there. Turning to slide 6; and let me repeat this again, APA has invested over AUD12 billion in acquisitions and growth CapEx over the last 16 years, we’ve added more than 2,000 kilometers of parks to our portfolio and spent more than AUD150 million in IT and asset management systems. These are just the tangible investments we have made. There are numerous intangible IDs and solutions that we have offered the market through the expertise, knowledge and initiatives that we have harnessed as a provident prize. The benefits that our East Coast Grid has brought to the gas industry as a whole are easy to imagine but difficult to quantify. The Brattle Group, global economic consulting firm has attempted to quantify some of these benefits and in a recent report they estimated the direct quantifiable efficiency benefits to the market associated with APA’s grids since 2012 to be at least AUD120 million but more likely to be close to AUD150 million to date. Going forward they estimate there is at least another AUD15 million but like to be close to the AUD32 million per annum of benefits. They have also identified additional benefits to the market in excess of AUD40 million, which will crystallize as market demand grows. Investing in this way, APA has made significant nation-building contribution to Australia’s Energy and Infrastructure sectors. This is something that all at APA, are very proud of. I’d like to go through a couple of case studies very quickly. The first relates to an LNG project that need to provide some gas and then in the following week repay that loan and park some more. And of course with an LNG project, we are talking about sizeable amounts of gas. APA upon receiving this request looked at the full cast operational conditions and other customers’ requirements as well as the physical pipeline invitations on the day and was able to accommodate this request thanks to our crew at the IRC working together and making most of that pipeline capacity. This assisted our customers in meeting their production targets rewarding well turndowns, in the unnecessary flaring of gas. The second case study is related to the recent electricity supply to South Australia. On one of the days when the wind didn’t blow in South Australia, APA was able to transport gas from North to South for customer to use picking gas-fired electricity generation. Thanks to our force of having a central mission control which is the ISC we’re able to attain everything around within 24 hours including all of the commercial negotiations and system inputs. Our pipelines delivered the equivalent 80% of the gas used for the gas-fired electricity generation on that particular day. Not only did we ensure South Australia’s gas requirements permit, in the process we also anticipated requirements in the New South Wales and Victorian markets and ensured there was no interruption to customers in those markets. Turning to slide 7, APA’s growth strategy is driven by, very disciplined approach to ongoing development of our assets and intermediate services and through strategic acquisitions of complimentary assets. This slide shows the key areas where we spent money during the 2016 financial year. The two acquisitions we made during the year are both smack on APA’s growth strategy. In that, one; the assets are well known to APA. Two; they are connected to or close to our existing infrastructure. Three; APA has had operational involvement with them for some time. Four; both have long-term contracts with highly credit-worthy accounting parties. And five; both of them are operating cash flow per security equity from the first full-year of ownership. And a couple of growth projects worth highlighting. These are the bread and butter of APA and again, part of the execution of APA’s growth strategy using the same principles. The Eastern Goldfields pipeline was completed ahead of schedule for AngloGold Ashanti’s goldmines at Sunrise Dam in Tropicana. By enabling the transportation of natural gas on pipelines across more than 1,800 kilometers from the Cannabin Basin, we have effectively taken nearly 1,500 diesel transportation movements per year off the roads for Anglo. It is also meant less exposure to fuel price volatility, improved safety for the mine workers and longer-term fuel reliability for those gold mines. Phase 1 of the Victoria Northern Interconnect expansion was completed and customers have taken delivery of gas using the extra capacity. Phase 2 will be completed in the second half of FY17 nearly doubling capacity to 200 TJs per day. Phase 2 has recently seen a second major customer take-up significant additional capacity on the VNI as well as the Moomba Sydney Pipeline to further increase their ability to deliver gas to the Northern markets. Before I had over to Peter for more details on the numbers, I’d like to close this section with some comments on our health, safety and environment results on slide 8. This year we have released our Sustainability Report at the same time as the full-year results. And so I won’t go through the outcomes for each of the five stakeholder groups at this time. Safety is a key priority at APA and we continue to target zero harm workplace. This financial year was the first full-year using our new incident reporting platform Safeguard, which we introduced to improve access, analysis and rigor around the reporting of incidents and injuries across employees and contractors. This has been evidenced by an 18% increase in the number of incidents reported this year compared with last year. The Lost Time Injury Frequency Rate was 1.06, and the total reportable injury frequency rate was 10.41 for FY16. While it is disappointing to note a slight increase over last year, I’m happy with the better reporting culture and the overall longer-term improving trends. Importantly, an independent health and safety order program conducted across the business resulted in a 95% compliance rating. There is, no major non-conformance findings providing evidence that we do have a robust safety reporting system in place. Our two-year environmental strategy and improvement plan launched last year is progressing according to schedule. We also continue to fully comply with relevant standards and regulations. The green graph at the bottom shows APA’s Scope 1 CO2 emissions as reported to the clean energy regulator. The figures are for FY15 as FY16 number will not be finalized until October this year. The increase is shown as due to increased compressor use to meet increased customer gas transportation needs particularly on the East Coast Grid. Operational excellence is an important aspect of our business to deliver sustainable outcomes to our stakeholders, not least our employees and our customers. The enterprise asset management system is an integrated asset management system that APA has implemented in order to standardize process and systems for managing and monitoring all of our assets. This project has been the largest, most complicated business and technology project undertaken by APA to date and will have far reaching positive consequences for the way in which we manage our assets. We have many ongoing initiatives across the business that enable us to meet and exceed industry best practice and achieve our sustainability objectives. I’ll now pass you over to Peter Fredricson to take you through our financial performance.
Peter Fredricson: Thanks Ross and good morning everyone. The most pleasing aspect of this year’s full-year result is that it has delivered good solid operating cash flow, almost exactly as we expected it would. When we acquired the South West Queensland Pipeline in December 2012, we expected to see that asset reach the full-maturity associated with the gas transportation agreement in then to underwrite its 2012 expansion in around FY16. This has happened and has reflected in this result. The full-year of contribution from the Wallumbilla Gladstone Pipeline with some AUD470 million in EBITDA was as expected and contributions from the commissioning of the Eastern Goldfields Pipeline also added to growth year-on-year. A full-year of depreciation of the Wallumbilla Gladstone Pipeline and amortization of the foundation contracts on that asset, each of which have been written off over a shorter period of 20 years, clearly drove the impact result which is somewhat below the FY15 result. However, the major value driver in our business has always been operating cash flow which was some 58% up on the previous year at AUD862 million ensuring that we could meet the market expectations of increasing distributions of the back of that and other cash flow per security accretive acquisitions and capital investment. Moving to slide 11, state-by-state, the results continue to trend that we reported on at the half-year with Queensland benefiting from the addition of a full-year of WGP or Wallumbilla Gladstone Pipeline revenues and South West Queensland Pipeline revenues around the ramp-up of the three LNG projects from Gladstone. New South Wales benefitting from being the major pipeline in the middle of the East Coast Grid and therefore facilitating gas flows both North and South, and the Victorian transmission system year-on-year performance primarily impacted by a once-off revenue in FY15 that was not repeated in FY16. The result in Western Australia is reflecting the final outcome of the Goldfields gas pipeline access arrangement which we received on 30 June 2016 but offsetting that somewhat was the commissioning of the Eastern Goldfields Pipeline to deliver gas to Sunrise Dam and Tropicana mines for the whole of second half. Asset management benefited from increased lower margin expansion works undertaken on assets that we manage was the energy investment sector once again grew year-on-year to a modest extent driven by ongoing success of assets within the business including EII, Diamantina prior to 100% owner and the CS Pipeline. Corporate costs have ended around where we expected them to, up AUD13 million on the prior year with some AUD10 million of that coming from costs associated with our NEGI bid, the Iona bid, the transaction costs on the DPS and EPX acquisitions and costs incurred in the various East Coast guest market reviews and enquiries during the year, again we spoke about this expectation at the half-year result. All-in-all, a AUD1.33 billion EBITDA outcome represents a solid base for the business going forward and one from which we will continue to see reasonable growth in FY17. We move to slide 12, this provides possibly the simplest analysis of our results over the year, with the base continuing business EBITDA from FY15 including one month of Wallumbilla Gladstone Pipeline results. The net contribution from the acquisitions column includes an extra 11 marks if you like of EBITDA from the WGP year-on-year amounting to a further AUD439 million and contributions from DPS, Diamantina Power Station and Ethane Pipeline as subsidiaries in the last quarter of the year amounting to around AUD30 million. More importantly though, we saw a net 6% of organic growth across the business year-on-year, a number that we expect to exceed in FY17 and which we will discuss more when we come to guidance later in the presentation. Contributions to this growth were primarily the commissioning of the Eastern Goldfields Pipeline, expansion of the Victorian Northern Interconnect, completion of a number of expansions on the Southwest Queensland Pipeline and short-term as available services provided to customers to meet their day-to-day needs. It’s important to note that this is a net growth figure, taking into consideration reduced revenues on the Goldfields Gas Pipeline for instance as a result of the new access arrangement which we accounted for from 1 July 2015. On the next slide, probably the most important thing to note about APA is that we continue to operate a low-risk business model, providing services to highly credit-worthy counterparties and investing in expanded capacity when the market needs it and when it’s underwritten by those customers. In excess of 94% of our customers have investment grade credit ratings and an excess of 50% of our customers have a minus or better ratings. We have diversification of revenue sources with the energy and utility sectors contributing around 85% of all revenues and fully three quarters of our revenues come from capacity based charges that have underwritten the expansion of our assets over the longer term. Only around 2% of our revenues come from services, where customers are looking for flexibility over the shorter term. Diversification of customers, sectors, states and revenue types are integral to maintaining the low-levels of risk that characterize our business. Moving on to slide 14, this provides a more detailed breakdown of EBITDA on an asset-by-asset basis. Again, the most significant contribution to growth in FY16 was the full-year contribution from the Wallumbilla Gladstone Pipeline. But outside of that Queensland grew by around 17% and WA grew by a net 2% after accounting for the reduced revenue that was determined on the Goldfields Gas Pipeline access arrangement from 1 July 2015 and the commissioning of the EGP for AngloGold and Granny Smith. Around 2% of revenues in the infrastructure space or around AUD30 million came from providing customers across the various assets with a range of flexible, short-term services such as the pack and loan case study that Mick went through earlier in his presentation, sorry, that Ross went through on behalf of Mick. The asset management business benefited from a year of stable asset management revenues and customer contributions again in the order of the longer-term average of around AUD10 million that we’ve seen over many years. Organic growth in the networks business of both AGN and GDI at August continues to show that domestic customers in particular value gas as an alternative fuel of choice. Some 33,000 new customers were connected by APA on behalf of AGN and GDI over the year. In the last quarter of the year, we completed the acquisition of both Diamantina and the Ethane Pipeline Fund. As such the energy investment sector includes nine months of results from DPS as an investment with the remaining investments in the portfolio effectively performing in FY16 in-line with the outcome in FY15. As is to be expected from these more mature assets that have less of a growth profile than APA’s 100% owned assets. As previously mentioned in this presentation and also at the half year, in the order of AUD10 million of the increase in corporate cost for the year was essentially driven by one-off items. On slide 16, as Ross noted earlier, APA has been AUD12 billion over the last 16 years acquiring and further building out, an energy infrastructure asset portfolio that is meeting the specific needs of our customers. During the year we spent in excess of AUD600 million on further growing this asset base with AUD280 million of expansions and AUD340 million of acquisitions that are all operating cash flow per security accretive. We will see further growth in EBITDA in FY17 as a result. The major organic projects in FY16 included ongoing expansion of the Victorian Northern Interconnect, the Eastern Goldfields Pipeline and the further expansion of the Mondarra gas storage facility. Stay-in business CapEx continued at the recent levels of around AUD50 million for the year. Moving on to capital management on slide 17, as expected, based on the guidance that we have provided throughout the past 12 months, we’ve maintained a strong balance sheet over the period to 30 June 2016. At 66.4% gearing for the year remains towards the lower end of our targeted 65% to 68% range but appropriate given the somewhat volatile global markets that we’re currently dealing with. Interest cover continues to rise year-on-year and interest cost continue to fall on a relative rate basis. On 1 July 2016 we repaid AUD85 million of our most expensive U.S. private placement debt by drawing funds from our least expensive debt part of the AUD750 million odd of cash and committed undrawn facilities that we retained at year-end. This means that our average borrowing rate should fall further in FY17. We continue to jealously guide our BBB and BAA2 investment grade credit ratings by ensuring that there is sufficient operating cash flow to fund the business and that acquisitions are funded with an appropriate mix of equity and debt and cash retained in the business. On to slide 18, the tenure of the debt portfolio remains above 7 years, and with some AUD600 million odd of shorter term debt are drawn from APA’s Aussie Dollar denominated bank facilities, it’s likely that at some stage within the next 12 months, we will look to issue further long-term bonds to term out some of that shorter-term debt. All-in-all, there remains significant opportunity both within the current profile of APA’s debt portfolio and with the high continuing - with the continuing high levels of liquidity in all of the global debt capital markets that we have access to for us to retain a high-degree of confidence in being able to issue further bonds during the next financial year. On page 19, in respect of the distribution, as Ross has already noted, the board has approved an increase in the distributions for the year to AUD0.415 per security. This is an increase of around 9% and keeps faith with our undertaking to increase distributions as funds from expansions and acquisitions come into the business. Of the end of our first full-year of ownership of the Wallumbilla Gladstone Pipeline and the 6% year-on-year growth in the remainder of our business, the distribution represents a payout ratio, a payout that is below the bottom end of the soft-target payout range that we have typically measured against. Again, this is in-line with our advice to the market at the time of the Wallumbilla Gladstone Pipeline acquisition that we would payout towards the lower end of that range to ensure longer-term sustainability of distributions and appropriate funding of growth in the business going forward. So, moving to some guidance for next year, in respect of that guidance, we are comfortable based on our current visibility of the business and what we are working on that EBITDA will achieve growth of between 7% and 8.5% year-on-year to between AUD1.425 billion and AUD1.445 billion in FY17. With net interest costs expected to be in the range of AUD510 million to AUD520 million for the year, we are expecting distributions to be in the order of AUD0.435 prior to the benefit of any franking credits. Based on the results that we have released here today, we expect to pay cash tax of around AUD14 million when we file APA’s 2016 tax return in February 2017. Any tax paid will be subject to finalization of that return and we expect to allocate all franking credits that arise from those tax payments as part of the FY17 distributions. Based on current longer-term modeling of the business, we expect to be a cash tax payer going forward. With that, I’ll hand back to Ross. Thanks so much.
A - Ross Gersbach: Thanks Peter. Before we go into questions, it’s important for us to go update the market on gas policy developments over the last year which has certainly taken a lot of resources within APA and the industry. We’ve been showing the orange in the light chart on slide 22 for a number of years now. APA has been busy preparing for the LNG ramp-up and now we’re almost over the hump which has seen tripling of gas consumption on the East Coast as the new norm. We used to hear the term gas crisis bent it around up until about 12 months ago. And with such talk ultimately leading to the reports by AMC in the ACCC into the East Coast gas marketing culminating in the COAG Energy Council announcements just last Friday. In that release COAG committed to implementing a gas reform package. We welcome COAG’s commitment to industry and stakeholder consultation as part of COAG’s consideration of the ACCC’s recommendation to change the regulatory test. Consultation is critical to effective policy development and APA looks forwards to contributing to that discussion. One thing does appear to be certain though we are all finally in agreement that there is sufficient gas forecast to be produced to satisfy both LNG and domestic demand which is good news for consumers. So, there wasn’t our guess crosses after all which is what APA had said all along. That is predicated on forecast production coming online and one would assume on the ability for gas to get to market. That’s where the pipeline history has a crucial role to play. Pipeline infrastructure is critical to increasing gas supply and increased gas supply will put down pressure on prices. To this end, the pipeline registry has demonstrated record of investing and innovating to give customers the services they need to ensure gas projects, proceed and gas gets to market. I mentioned earlier that APA has invested billions of dollars in infrastructure systems and technology to provide more pipeline capacity and flexible services to meet customer needs over the last decade and half and under the current regulatory regime. All of this investment and innovation occurred without a cent of government financial support or regulatory over-side, a great example of the free-market well and truly at work. The green graph on the slide demonstrates the daily swings in gas volume at Gladstone. Obviously a challenge for the LNG operators but offering opportunities for APA and the free market to provide salience such as park and loan services. Economic consultants The Brattle Group estimate that the APA green park and mine services produce an economic benefit of between AUD7.5 million and AUD25 million annually to the market. In 2015 in particular, it was used extensively during commissioning of the LNG plants in Gladstone which estimate to create an economic benefit of at least AUD10.5 million but more likely around AUD35 million in avoiding costs. So, what about gas prices? There isn’t a doubt that the LNG market has exposed domestic customers to LNG export pricing. Noting that seems to crash the crude oil prices in recent years there was a question as to what the current LNG export price is. One thing that is certain is that any domestic gas price increases have not been a result of increased top-line transmission charges. It might surprise some people but these days transmission charges make up between 5% to 10% of the delivered retail gas price. The 2015 gas market report published by the Department of Industry indicates that transmission tax for the industry as a whole have increased in real terms since 2002 notwithstanding rising gas prices over that time. So, the top-line is it hasn’t been a party putting very state price increases to the market. We’ve just charged what we’ve always charged and try to grow the gas market. I can also say categorically here and now that over the past 16 years, we have worked closely with all of our customers to give them the capacity that they have wanted in order to move gas around the capacity on their pipelines. We have not had a circumstance in that time where any customer who purchased long-term availability on our pipeline was constrained. Further, we have worked with many customers over that time to give them access to capacity on their pipelines, there was nothing used if they wanted that capacity. Investing in heavy infrastructure needs certainty of return and our customers have provided - so we have provided the infrastructure at long-term agreed and appropriate tariffs that have reflected both the investment needed by APA and the certainty needed by our customers. So, let’s look at what initiatives and opportunities lay ahead for APA. As we do every year we reviewed our strategy during this year. This year we had externally facilitated review which looked back on the last 16 year’s performance as well as to the future to ensure that we are not missing any tricks in the setting of that strategy although why while pursuing it. The short-answer was no, and there was no real change to our strategy of growth. There have been some skeptics in the market about APA running out of growth options. Apart from it, the review concluded that there were plenty of opportunities to expand and enhance our assets, be it a transmission pipelines, renewable and generation assets or midstream complimentary assets. Over the short-term we have identified organic growth opportunities for APA in the order of AUD1.5 billion, which I can roughly split out into pipeline extensions, expansions of approximately AUD700 million, expansion of APA’s renewable and generation footprint in the order of AUD500 million and the expansion of our midstream asset footprint of approximately AUD300 million. These are all extensions of things we already own or do. Our growth strategy will continue to be executed using the same disciplined and prudent investment criteria that have stood us in good state to date. We will pursue opportunities where we’re able to leverage existing assets and our expertise where revenues are underpinned by long-term contracts and highly credit-worthy accounting parties and where there is an appropriate allocation of risk between the parties. And most importantly we will use appropriate funding structures to maintain our strong investment grade credit ratings and strong balance sheet. We’re also assisting international opportunities and the same investment criteria will apply to those as well. In summary, there are plenty of opportunities for growth and we are well placed to pursue them. Thank you. We’ll move to questions now from the analysts. Time has been set aside to talk with journalists after this presentation.
Operator: [Operator Instructions] Your first question comes from Mike Dargue with Citi. Please go ahead.
Mike Dargue: Hi guys, couple of questions from me. Firstly on that growth opportunity slide, you previously had AUD300 million to AUD400 million of organic growth CapEx. Is it right to think of the renewable in the midstream is being kind of new to that and that AUD300 million to AUD400 million was just a part of extensions and expansions?
Ross Gersbach: Yes, I think we invest in a portfolio of opportunities. And I think you’ll see renewable coming in. If we have, I mean, the guidance there effectively represents what we expect over that period. And it will consist of renewable, it will consist of pipeline expansions etcetera. So it will be a mix of those types of investments.
Mike Dargue: Okay, great.
Peter Fredricson: I think it’s important for everyone to understand that with the environment that we’re in, it’s a little bit less simple to talk about a specific number in a specific timeframe now with much more stuff happening around us and we’re talking to people about a lot of different stuff. So that slide is made up of different investments and different expansions that we’re talking to people about, is just less certainty than we’ve had in the past in respect of timing. But by the time we spend that sort of money over the next three years, I deem in the context of the why we invest the growth continues to be there.
Mike Dargue: Okay. How does the, I guess, risk appetite versus returns in those newer segments defer to your base business in the pipelines?
Peter Fredricson: I think the risk appetite hasn’t changed. I mean, Ross said earlier, we’re a business that is about owning and operating long-term energy infrastructure that’s underwritten by with long-term contracts from highly credit-worthy counterparties. That’s our business. And whether it’s owning a wind farm or downs to owning a pipeline like the Wallumbilla Gladstone Pipeline or the Moomba Sydney Pipeline, they’re all the same sort of assets, same sort of investments. Diamantina exactly the same outcome, Ethane Pipeline exactly the same, long-term contracts with highly credit worthy counterparties.
Ross Gersbach: Yes, and we’re not going to invest in anything that threatens the financial structuring that we have on our existing assets. We will be continuing to look at assets that have similar risk return profiles to the existing balance sheet.
Mike Dargue: Okay, great. And then, second one from me, around your dividend growth. It looks like just under 5% DPS growth in the guidance versus EBITDA to 7% to 8.5%. Is this reflecting that you’re starting to pay tax and also that there is a big number a bit of in the growth opportunity section?
Peter Fredricson: Yes, well it does somewhat reflect that we’re going to pay tax and when we add franking credits if you work out what the franking credits might be around of AUD40 million tax bill that takes that distribution on a gross basis up to around 8%. So, I mean, we’ve got, once again, all we’re doing here is saying that we will continue to manage our portfolio in an appropriate way, we’ll continue to payout on a distributions basis in-line with enabling us to continue to fund the growth in the business. And when you do the cash flow numbers, what the cash flow numbers looked like for FY17, you will see there that we cover the sorts of things we’re talking about without using debt to do anything in particular. And we think that’s prudent in this environment.
Mike Dargue: Okay, thanks guys.
Operator: Thank you. Your next question comes from Ian Myles with Macquarie. Please go ahead.
Ian Myles: Hi guys. In terms of that AUD1.5 billion of CapEx, how much should we estimate to at this point in time, when you think about projects which match you thought and committed to?
Ross Gersbach: It’s a portion of that we’ve committed to that but I don’t really want to get into too much precision at this stage. Sufficed to say that there is, various projects that we are at different stages on and we look forward to updating the market when I do get committed up over the next 12 months.
Ian Myles: Okay. In terms of you talked about that 2% of service revenue that’s about AUD40 million. How much of that do you think is sustainable because the ramp program of the LNG plants is sort of coming off? And how much might be at risk associated with the policy changes which kind of I guess sort of pushing through?
Peter Fredricson: I’ll answer the first bit. It’s about AUD30 million actually because that AUD2 billion of revenue includes something in the order of AUD500 million or AUD400 million of pass-through revenues. So when you take your pass-through revenue out the 2% is not pass-through stuff. We continue to use, we continue to provide different services to customers it is not all revenue that we would expect to lose in any environment. It is all revenue that we continue to innovate for our customers and to provide them with assistance on a day-to-day basis. So, from our perspective we’re comfortable, we’ll continue to have that revenue. We’ll continue to have revenue around those sorts of services as we said last year, whether it’s AUD30 million or the AUD20 million we had last year or something different again, it’s not something we’re predicting but it’s about what our customers want. We’re reacting to what our customers want. And we’re giving them stuff that they need as they need it. So, that number will always change. The important thing I think to recognize is that at 2% of our revenue it’s not something that’s moving the dial a long way.
Ian Myles: And then the other one on rate contracting MSP that’s been grade talk within investors about that grade contracting event, I think you, alluded, in your presentation to the expansion of APA and signing some more contracts on the Culcairn to Sydney portion. Is it fair to assume that there is still a step down to come through or the re-contracting event all match shorter portion going to offset which is demand on the full-length of the park?
Ross Gersbach: We continue to talk a number of customers on the MSP and other pipelines. Obviously there is commercial sensitivity around those particular issues. But sufficed to say that our guidance reflects what will be the expected outcome of those negotiations.
Ian Myles: Okay, that’s great. Thanks guys.
Operator: Thank you. Your next question comes from Paul Johnston with RBC. Please go ahead.
Paul Johnston: Thank you. Good day Ross and Peter. Yes, a couple of questions from me, on the - just on the renewable generation CapEx opportunity you’ve identified there. Can you give a bit more I guess color on the types of opportunities you are thinking about there, is APA going to be taking on sort of Greenfield risk or are you sort of in the market to be acquiring some developments to anticipate on the wind farm or solar side of things? A bit more color there would be great, please. Thank you.
Ross Gersbach: I think the market is well aware of our activities around the Emu down solar opportunity. Development side we have West Australia called Badgingarra clearly those are areas we are focusing on and we’d like those to be achieve off-take agreements that give us the ability to move forward on those. But we are looking at other potential development sites elsewhere. But certainly our focus is on the existing sites that we have.
Paul Johnston: Great. That’s helpful. And Ross, maybe while you’re on, you sort of flipped in there looking at international opportunities. Anything more you can say there this point in time in terms of the scope or size or geography or type of asset that might be of interest to you?
Ross Gersbach: I’m just trying to think of what, how Mick would answer that. Clearly, there are interesting dynamics in North America at the moment and that is where a lot of activity is happening. It would be remise of us not to have a look at that. But I do stress that we are in due diligence mode on the market itself rather than any particular acquisition.
Paul Johnston: Okay, that’s great.
Peter Fredricson: Paul I’ll give you a mixed answer. Because this is no different to what has been for the last four or five years, and we deliver a strategy on a page document to our board each month as part of the board papers. And we’ve always had the dot-point on that page that reviewing the potential for offshore or overseas investment. And that continues to be the same size as it was last year, the year before, the year before that. This is not to say that we’ll do something tomorrow that we didn’t do last year. It’s just that we’re doing, we’re continuing to do what Ross righty pointed out as an appropriate for us as a business to do, look at the opportunities that are available to us as a business.
Paul Johnston: That’s good, thanks for that. And just on and as far as we’ve, just on the more on the numbers on the park line side of things. In the half do we effectively save sort of a full lock on South West Queensland in terms of the expansions or the compression there at Wallumbilla and also on the Victoria Northern Interconnect, is that sort of fully in the half for both of those now or there is more to come on one or both?
Peter Fredricson: There is more to come on the Victoria Northern Interconnect. I think we are in we’ve got revenues in the full-year here stages 1 to 5. And we’re working on stages 6 to 9. By the time we complete stage 9 of that expansion we will have doubled the capacity through that interconnect and that’s revenue that starts to come into our business next year and beyond. South West Queensland Pipeline expansions pretty much, we’re getting, we’re at, we’re getting what we expect out of that business in respect of the contracts that underwrote expansions both into 2012 and beyond when we owned it. So, from our perspective that’s where we’re at.
Paul Johnston: That’s great, thanks. And just one from me and I’ll let someone else have a go. But just on the dividend, I know you’ve had a few questions on it already, but I guess just some simple math on the guidance you’ve given on EBITDA and interest and cash tax sort of roughly gives me AUD0.80, or a bit more, of operating cash flow per share. And on your dividend guidance it’s circa 54% payout ratio, if my quick math is broadly correct. I guess the question is, the 60% to 70% and I know it was always a soft target on a payout ratio - is it sort of fair to assume given the growth opportunities that you’ve identified, that that will actually be at the bottom end and maybe below the bottom end, like we are in 2016 and it looks like in 2017, of that payout ratio for dividend?
Peter Fredricson: Well, certainly, as we alluded to when we acquired the Wallumbilla Gladstone Pipeline, we have reverted to the bottom end of that soft target range. And yes this payout at AUD0.415 is below the 60%. It’s always been a soft target. What is important for us in the context of our distribution policy is ensuring that we’ve got appropriate funding to meet the needs of the business going forward. And if we look at, if we talk about spending AUD1.5 billion over three years on various different things, our preference is not to come back to security holders and ask for more equity to do so, our preference is to ensure that we can fund that whilst also giving our security holders an appropriate increase in their returns. And that’s clearly what we’re looking to design in that AUD0.435 which is a number that we’ve given for the first time in a few years. But we appreciate the need for investors to have the once of investors to have a bit more certainty. We sit there in the order of AUD0.435 plus any franking credits it will be at the low end of that range, and we’ll go from there.
Paul Johnston: Very good. That’s it from me. Thank you.
Operator: Thank you. Your next question comes from John Hirjee with Deutsche Bank. Please go ahead.
John Hirjee: Good morning, hi everyone. Look, couple of questions from me. In terms of the LNG you provided the LNG case study where you’ve indicated what you’ve - both services you provided. Can you let us know whether this is an ongoing requirement and or is it only particularly during particular periods. I’m just keen to sort of assess whether there is any opportunities to extend that to a broader LNG client base?
Rob Wheals: John, its Rob Wheals. Just answering the question, that particular case that you, as you rightly pointed out is just an example. But I think on one of the slides you’ll also notice the volatility that the LNG plans to see even during day-to-day production. So our expectation is that we will continue to see volatility over time and we’ll continue to support those projects from time to time as they’re needed.
John Hirjee: All right, thank you. Second question relates to the whole issue of regulation or re-regulation. I’m just wondering in terms of existing pipeline tariff contracts that you have, I would assume that they are not able to be touched in the context of regulatory oversight. But I guess that would apply if regulator comes in to future tariff charges. How do you think that would work if that would apply, I know it’s long-guided and you still have a long way to go. But I just wanted to understand how the regulator would come in and then regulate tariff when the literally bilateral contracts at this stage?
Ross Gersbach: I think we are getting ahead of ourselves a little. This is obviously an important area of focus for us at the moment. We are very pleased with COAG not automatically accepting the - what I suppose say we’re reporting. And we look forward to engaging with them. And we think that the current regulatory environment works, it has worked and will continue to work and so we don’t see any fundamental need for change in the market as we see it. Nevertheless, we without disclosing, we obviously had commercial confidentiality around that agreement. But sufficed to say that this is a very long-term impact if any change did happen, and we think we are very well positioned over the medium term in that event.
John Hirjee: All right. Thank you. And one final question to Peter I guess. In terms of the guidance you’ve given, it’s a very tight range Peter, I mean, I’m just wondering that gives us a fair degree of confidence or gives - you’re giving the market a fair degree of confidence in that guidance. So I just wanted to sort of further develop that very tight range you’ve given?
Peter Fredricson: Yes, John I think it is a tight range and we’ve always given a relatively tight range in terms of our EBITDA guidance and in terms of our interest guidance. And the reason for that is because as we said earlier on about 85% of our revenues come from long-term contracts that we know I cannot flow from sorry from what you call it take-or-pay type of agreement. So, it does give us a clear understanding of what we should expect. If you look at the revenues on the Wallumbilla Gladstone Pipeline for instance we know exactly what those are going to be given that we’ve got hedged into Aussie dollars for the full 12-month period. So, we’re trying to be as helpful to the market as possible. And you haven’t seen us change our guidance and absent in acquisition in the last five or six years. So, we’re comfortable that we can be accurate all things being equal. And at this stage we’re expecting all things to be equal.
John Hirjee: Well, thanks very much Peter. Thank you very much Ross as well.
Operator: Thank you. Your next question comes from Peter Wilson with Credit Suisse. Please go ahead.
Peter Wilson: Thank you, just couple of questions. Firstly, just on the interest costs and you mentioned that you’re going to look to turn out some debt. I mean what kind of average weighted interest cost savings do you think that you could achieve in the next couple of years on a percentage rate basis?
Peter Fredricson: I mean, we’re at I think mid-5s in terms of an average interest cost for the year. This is not going to come down in big chunks. The AUD85 million that we repaid on the 1 July at USPP was our most expensive bid, we had a couple of digits in front of the decimal point. You don’t see that stuff anymore. But we had AUD85 million of it. So when you’re replacing that with something that’s down in the 5% area it does reduce your overall cost of debt but again it’s not going to bring it down in terms of significant numbers. The range that we’ve given in terms of guidance for interest cost is based again on our expectation of the cash flows through the year, our expectation of what we think interest rates will do. Our expectation of the possibility of issuing a bond but again, it’s, AUD600 million of drawn bank debt, AUD295 million of USPP that’s due to be repaid in May 2017 that’s AUD900 million. If we issued a AUD500 million bond to retain about AUD400 million or AUD500 million of drawn debt in Aussie Dollars, through our bank facilities over the next 12 months, it’s not going to drive us down to 4%. So, I think we can get too carried away with what the average rate is, we’re comfortable with that guidance and again, as Ross pointed out in terms of the EBITDA everything we expect to do during the year is reflected and everything we expect to pay during the year is reflected in that guidance.
Peter Wilson: Okay, thanks for the detail Peter. And Ross, this one’s probably for you. So with COAG, if I’m correct, they basically committed to doing two things; one was reviewing the regulatory test which you’ve spoken about, the second was to move ahead with concentrating trading into a north and a south hub. Do you guys see any upside from that, considering that you basically control most of the infrastructure around both that northern and the southern hub?
Ross Gersbach: From our perspective we’re supportive of increasing liquidity in the gas market. And the challenge is how best to do that. And I think you’re going to be able to regulate your way necessarily to increase that liquidity. But if the market develops and increased liquidity flows, then I do expect to benefit from that as a result of shipping the infrastructure.
Peter Wilson: Okay, thank you, that’s all from me.
Operator: Thank you. Your next question comes from Rob Koh with Morgan Stanley. Please go ahead.
Rob Koh: Good morning guys. So, I joined the call a couple of minutes late and so this is possibly a very stupid question and no disrespect to all of the speakers this morning, but where is Mick?
Ross Gersbach: Well, Mick’s just stepped into wrap this up. So, I’ll pass him over to you.
Mick McCormack: Sorry, but apologies, I’ve had a back-injury for a couple of weeks. And a combination of no sleep and powerful drugs, etcetera, etcetera. And also I tested the troops to get on without me. So, sorry Rob, what was the question.
Rob Koh: No, that’s been answered, I’m sorry to hear you’ve been feeling poorly Mick, hope you’re on the mend.
Mick McCormack: I’ve been kicking as these things pile up.
Rob Koh: In relation again, once again to the COAG Energy Council Meeting which has set up gas market’s working growth under Michael Vertigan with industry representation. I just want to understand will you guys have some kind of representation on that growth or how will the pipeline as an industry be heard?
Ross Gersbach: Yes, it’s Ross Gersbach here. The precise details of that group, is yet to be released. I’m sufficed to say that both APA and the Pipeline Industry will be actively involved, the resources that we will be committed to that will be extensive. And as we say, we’re committed to the long-term objectives of that group. And we just have to make sure that the outcomes of that work for the market as a whole.
Rob Koh: Okay, great. Thank you. Second question in relation to growth prospects and growth opportunities and I do hear the comments about nothing really changing in terms of risk appetite. Can I ask if you do go offshore and I hear that you’re also in the early DD stage of the market there, would you consider - would it be under the similar kind of ownership structures that you have now like 100% ownership and control or do you consider spreading the risk with JVs?
Peter Fredricson: Yes, look Rob, it’s and really it’s too early beta scene of the battle at all. And I’d like to remind people that you’ve heard us say for the last look probably six or seven years now, we’ve had a dot-point on our strategy on the page, which it talks about looking at overseas and the facts that in that time we’ve simply been too busy doing things in Australia to pay much attention to it. The difference these days is as we’ve looked overseas and not point to the U.S. in particular in the last year or so, the whole midstream sector over there has crashed basically and it needs to be recapitalized as in the assets defined. And that’s just opened a window of opportunity we think at this early stage to just put a bit more effort into some due diligence. But really that’s the bad event. And few of my colleagues would have said and I’ll repeat it if I haven’t or if I have said or whatever it is. Anything APA does we’ve built a reputation that will seriously defend in the future. So you might find us doing I think that will with the business at risk.
Rob Koh: Yes, that’s clear, thank you. So, moving to domestic opportunities and I noticed your case study on Southern market interconnected flows. How should we think about that dynamic in the event that the New South Wales SA Electricity Interconnect gets commissioned and built, how does that change the dynamic on the East Coast Grid?
Peter Fredricson: I think I mean Ross might have a comment. But we said for some time that we as a company, APA, has always been bullish on the gas story and what’s happened in South Australia in our view was entirely predictable. And indeed that’s the reason why we say there is going to be more need for gas-fired power gen. So, if Ross, do you want to add anything?
Ross Gersbach: Yes, I mean, I think it was Grant King that made the correct observation the other day that there is no shortage of the infrastructure to supply South Australian market in terms of gas pipelines. And we already expect the logical solution to that is investment in gas-fired power generation to manage those swings. We obviously do have an interesting morning so we are focused on those opportunities with those interconnects. But I think it’s a good example that the regulatory environment doesn’t make investment in these types of assets really. And we’re fortunate to not have such a stringent regulatory position in the gas sector.
Mick McCormack: Actually, I got a point talking about regulators, yes, they were shaking their head. I really think it was a case and point three or four years ago, we went to the regulator and said we’d like to expand it and the regulator said it’s not necessary. So three or four years later, sales drive assured electricity regulators.
Rob Koh: Yes, yes, okay. All right, last question. So, having a look at slide 14 which is your breakdown of earnings by pipeline, and I guess, a role there might be a little bit inaccurate. But it kind of looks like the South West Queensland Pipeline’s second half was little lower than first half. And I guess in the context of stock-in-line deals. Can we just have some color on the swings first half versus second half?
Mick McCormack: Honestly Rob, we’re not here in a position to give you that sort of level of detail to be fair. We’ll do some work on it during the day.
Rob Koh: Yes, no sweat at all. That’s very much appreciated. Thanks guys.
Mick McCormack: Thanks Rob.
Operator: Thank you. There are no further questions at this time. I’ll now hand back to your speakers for any closing remarks.